Operator: Good day, ladies and gentlemen. Welcome to Vista Gold's 2024 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question and answer session [Operator Instructions]. As a reminder, this conference call is being recorded, today is Thursday, March 6, 2025. It is now my pleasure to introduce Pamela Solly, Vice President of Investor Relations. Thank you. Please go ahead.
Pamela Solly: Thank you, Ina. And good day, everyone. Thank you for joining the Vista Gold Corp 2024 financial results and corporate update conference call. I'm Pamela Solly, Vice President of Investor Relations. On the call today is Fred Earnest, President and Chief Executive Officer; and Doug Tobler, Chief Financial Officer. On February 28, 2025, Vista reported its operating and financial results for the year ended December 31, 2024. Copies of the news release and annual report on Form 10-K are available on our Web site at www.vistagold.com. During the course of this call and the question and answer session, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed Form 10-K for details of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements and the cautionary note regarding estimates and mineral resources and mineral reserves. I will now call the turn over to Fred Earnest.
Fred Earnest: Thank you, Pam. And thank you, everyone, for joining us on the call this afternoon. We will begin with an overview of our 2024 achievements and then discuss our outlook for 2025. Our achievements in 2024 underscore our commitment to creating greater value for our shareholders and positioning Vista and Mt Todd for long term success. During 2024, we completed the drilling program that we committed to as part of our 2023 royalty transaction. We evaluated alternative development strategies for Mt Todd and started a new Mt Todd feasibility study targeting a 60% reduction in capital. I'll talk more on that in a moment. In March, we announced updated economics for our 2022 Mt Todd 50,000 ton per day feasibility study to reflect first quarter 2024 pricing for material, capital and operating cost components. At Vista's 2024 Annual Meeting of Shareholders, two new independent directors were elected to the company's Board of Directors to succeed two longstanding directors who retired. We received the remaining proceeds under our 2023 royalty transaction with Wheaton Precious Metals that enabled us to advance Mt Todd work programs and end the year with $16.9 million in cash. I'm pleased to report that we have had no lost time incidents year-to-date or for the year 2024 and the Mt Todd site has now reached 1,211 consecutive accident free days. Finally, I'm happy to announce that we have published Vista's 2024 ESG report and I note that it is available on our Web site at www.vistagold.com. I will discuss some of these topics in greater detail in just a few moments. But I would now like to turn the time over to Doug Tobler for a review of our financial results for the year-ended December 31, 2024.
Doug Tobler: Thank you, Fred. And for those of you on the call today, thanks for joining us, and we appreciate your interest in Vista Gold. We filed our most recent Form 10-K last week. That report is available at sec.gov and cedarplus.ca. I'll start today with a recap of our year-over-year results of operations, and all the amounts I'll be speaking to today are in US dollars. Vista reported net income of $11.2 million for the year ended December 31, 2024. This compared favorably to a net loss of $6.6 million for 2023. The financial results for 2024 benefited from two important non-recurring items. First, we recognized a $16.9 million gain on the Wheaton royalty transaction. This gain resulted from the $20 million received, offset by associated capital costs at Mt Todd of $3.1 million. Secondly, we sold a portion of our used mill equipment for a gain of $800,000. Another benefit we realized was from higher interest income. As a result of the Wheaton proceeds, we had a substantially higher cash balance during 2024, which translated to an increase in interest income of nearly $450,000 when compared to 2023. And from an expenditure perspective, we were successful during 2024 in managing our corporate admin costs and recurring Mt Todd site costs. These costs were largely consistent when compared on a year-over-year basis. We did see an increase in exploration related costs in 2024 compared to 2023. These costs were $3.5 million in '24 and $3.2 million in 2023. The '24 increase was largely attributable to several technical studies that we undertook prior to making our decision to proceed with the feasibility study that is currently in progress. As a result of our positive operating results for 2024, Vista Gold ended in a strong financial position. At year end, we had cash on hand of $16.9 million and no debt. This placed us in a position to complete the feasibility study, which is scheduled for mid 2025 and maintain a strong financial position going forward. That concludes my remarks for the day, so I'll turn the call back over to Fred. Thank you.
Fred Earnest: Thank you, Doug. Before discussing our 2024 achievements and 2025 outlook, I'd like to provide an overview of our strategy. As I mentioned previously, in December, we started a new feasibility study for Mt Todd, targeting a 60% reduction in capital. The capital is now estimated to be $400 million for the project. This study will evaluate a 15,000 ton per day or nominally 5.2 million ton per year operation with anticipated gold production of 150,000 to 200,000 ounces of gold per year. We will be raising the cutoff grade used to develop the mining schedule to achieve our target of having a mineral reserve grade of approximately 1 gram of gold per ton. We expect this will result in a gold reserve of 5 million to 5.5 million ounces. The consultants we have selected for this study have extensive Australian and international experience with projects of this scale. We believe that we can deliver a fit-for-purpose design that can be built more efficiently and in a shorter period of time. This new feasibility study is expected to be completed mid-year and marks a significant step forward in de-risking the Mt Todd project. This study is an integral part of our efforts to position Mt Todd as one of the most attractive, ready-to-build gold projects in the world. We continue to exercise the discipline necessary to best realize value at the right time. Now, turning to our 2024 achievements. First of all, talking about safety and ESG topics. During 2024, we maintained our focus on safety, environmental stewardship and stakeholder interests. Mt Todd achieved zero lost time accidents in 2024, and as I noted, has now passed 1,211 days without a workplace incident. We remain committed to our health and safety programs and are focused on building on this achievement. Site personnel continued to successfully manage Mt Todd environmental initiatives and the management team continued its proactive engagement with the Jawoyn Association Aboriginal Corporation and its members and other key stakeholders. We also published our inaugural ESG report. Also in 2024, we completed a drilling program in which we drilled a total of 34 diamond core holes for a total of 6,776 meters. Every hole intercepted mineralization. The program was divided into two phases. Phase 1, drilling in conjunction with the 2020 through 2022 drilling program, provided information to extend the boundaries of the mineralization in the northern section of the Batman deposit. Drilling intercepted gold grades higher than estimated in the current block model and also intersected mineralization outside the limits of the current resource envelope. These results provide the basis to increase gold mineral resources in the area of the Batman deposit and to convert a portion of the current mineral resources in this area into proven and probable mineral reserves. The second phase to the drilling this defined the mineralized boundaries of the south crossload over a 400 meter strike length and intersected high grade substructures in the lower portion of 13 holes. The south crossload is parallel to the Batman deposit and extends to the northeast. These drilling results are expected to support the expansion of the mineral resource shell with the potential to increase gold mineral reserves. The results from the 2024 and 2020 through '22 drilling programs are being incorporated into a new mineral resource block model as part of the new Mt Todd feasibility study. We expect these drilling programs to result in an increase in mineral resources and the conversion of some mineral resources to mineral reserves. We encourage you to refer to our 2024 and 2025 drilling results news releases for more detailed information about the 2024 drill program. As I noted previously, in March of 2024, Vista updated the economics of its 2022 Mt Todd 50,000 ton per day feasibility study to reflect Q1 2024 pricing for material capital and operating cost components. Long term outlooks for the gold price, foreign exchange rates and the new lower northern territory royalty rates were also updated and incorporated into the study. This update demonstrated that project economics were approximately or slightly better than reported in 2022, inclusive of cost increases that have affected the entire gold mining sector. Obviously, the significant improvement in gold price since then has resulted in very positive improvements in project economics. As we look ahead, our key strategic focus in 2025 is to complete the Mt Todd, the new Mt Todd feasibility study. We believe this new feasibility study will be a significant catalyst to create long term value for Vista and its shareholders, and that it will represent a key deliverable in consolidating Mt Todd's position as one of the most attractive ready-to-build projects in the gold sector. Momentum continues to build in the gold sector and we believe that the lower capital costs of the 15,000 ton per day project in this new feasibility study is already attracting interest from investors seeking ready-to-build gold projects like Mt Todd. Vista remains committed to advancing its health, safety and ESG initiatives. Details of Vista's goals and achievements in these and other areas are included in our 2024 ESG report. In conclusion, Vista holds the Mt Todd gold project, a ready-to-build development stage gold deposit located in the Northern Territory of Australia, one of the most attractive jurisdictions in the world. Mt Todd offers significant scale, development optionality, growth opportunities, advanced local infrastructure, community support and demonstrated economic feasibility. Vista's strategy is to efficiently advance Mt Todd in ways that demonstrate the underlying value of the project and position it for near term development while maintaining the discipline necessary to best realize value at the right time. We anticipate that the results of the Mt Todd feasibility study will be a strong catalyst as we continue to pursue strategic transactions that maximize value for our shareholders. We expect our strategy of advancing Mt Todd with discipline to deliver a more fully valued project to our shareholders. We believe that thoughtful evaluations and a focus on minimizing shareholder risk will help us create and realize greater value for all stakeholders. Vista is committed to seeing the development of Mt Todd and keeping with the highest mining and ESG standards and will work diligently toward that goal. It is important to note that we hold approvals for all major permits needed to initiate development of the project. Mt Todd offers a number of advantages. It is ideally located in the Northern territory of Australia, an extremely stable and mining friendly jurisdiction. The existing project infrastructure at Mt Todd provides construction timeline and risk mitigation advantages, all the major permits to initiate development of the Mt Todd project have been approved. Of equal importance, we have earned the trust of the local stakeholders and are confident that our social license is firmly in place. Our current technical programs aim to derisk the project by incorporating designs that significantly reduce the initial capital costs while maintaining competitive operating costs and preserving the option for future project expansion. For a more comprehensive review of the work completed by Vista on the Mt Todd project, I refer you to our corporate presentation, which can be found on our Web site at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity and that current prices represent a tremendous opportunity to establish a position or increase one's holding in Vista Gold. This concludes our formal remarks. And we will now respond to any questions from participants on this call.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session [Operator Instructions]. And your first question comes from the line of [Mike Schultz].
Unidentified Analyst: So my question involves, a couple of calls back I asked a question about whether Vista had the capacity to be able to borrow possibly the entire amount of CapEx. And I think the response was that your kind of role would be to have a partner and whatnot. And so it's more along the lines of what is the risk of mining versus getting a partner? Because just if you think about -- if by chance you could borrow $400 million in the first two years if you met your 200,000 ounce target, you could pay off the entire CapEx if you netted $1,000 an ounce in gold. And so after that, it would just be tons of cash flows. So help me understand why a partner is a better strategy than actually mining it yourself, which you could do as soon as possible and not have to let year-after-year go by where you're kind of sitting on flat stock returns?
Fred Earnest: Well, first of all, Mike, no one would loan any developer 100% of the capital to build a project. That's just not a viable option. It's not a practical option. It's just not something that's done. I think the last time we saw 100% bank finance development of projects was in the 1990s. And I happen to be managing one of those projects. And it's a little bit difficult when you have the banks in your pocket like that. So given that that's the answer and that there's just no way that we or anybody else would borrow the full amount to develop Mt Todd or any other project, there is an equity component. And realistically, the balance between debt and equity would be something in the range of 50-50, 60-40. And so there's a dilution component that comes into play when we start looking at bringing in equity. The advantage of bringing in a partner to develop the project is that there's a value that they pay to Vista Gold as part of the earn-in through the project. And in the right circumstances, the right market, we believe that that earn-in would cover all or almost all of Vista Gold's contribution to the CapEx of the project. And so the advantage for us is that we would be able to finance and leverage our way into whatever our ownership position is with very little, if any, additional dilution to our shareholders, which creates more leverage. And that leverage becomes effective almost immediately. So that's the answer to your question, Mike. Thanks for asking.
Operator: [Operator Instructions] There are no further questions at this time. I would now hand the call back to Mr. Fred Earnest for any closing remarks.
Fred Earnest: Thank you, Ina. And thanks to all of you who have joined our call this afternoon. We're very pleased with the results of 2024, both from a financial point of view and from what we've been able to achieve in advancing the project. We, and I specifically, are very excited about the prospects for this year. The work that's progressing on the feasibility study, the new feasibility study for Mt Todd, have the potential to be a very important catalyst as we seek to unlock the value of the project for our shareholders. I invite you to continue to monitor the progress as we're able to announce it. The most significant bits of news will not be announced until the completion of the feasibility study middle of the year. But there is work ongoing and we invite you to closely monitor the progress that we're making with Mt Todd. We believe that the work that we're doing to evaluate a project with significantly lower initial capital costs, production in the range of 150,000 to 200,000 ounces of gold per year, which will be a very respectable gold mine, as well as the work that we're doing to -- through raising the cutoff grade, generate a project gold reserve grade that's close to a gram per ton, and will certainly not go unnoticed. We believe that what we've seen in the last week with increased trading activity is the result of investors starting to take note of the work and the goals that we have for Mt Todd for this year. I invite you if you have not already established a position, no matter what size, in Vista Gold, to consider if this is the time to do that. If you already have an interest in Vista, I invite you to increase that position. We think that we're on the cusp of significant value creation and we're grateful for the support that we enjoy from our largest shareholders and also from all of the smaller investors that own Vista stock. With that, I wish all of you a very pleasant day, and let's hope for continued higher gold prices. Thank you.
Operator: Thank you. And this concludes today's call. Thank you for participating. You may all disconnect.